Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2015 Perficient Earnings Conference Call. My name is Denise and I’ll be the operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I will now turn the conference over to Mr. Jeff Davis, President and CEO. Please proceed sir.
Jeff Davis: Thank you and good morning everyone. This is Jeff Davis, with me today of course Paul Martin, our CFO. I want to thank you for your time. As is typical, we have got 10 to 15 minutes of prepared comments and then of course we’ll open the call up for questions. So again thank you for joining, I appreciate your participation on the call. A number of factors led to a little lower start to the year than we’d hoped for primarily delayed delivery ramp so some projects coupled with some items we expect are going to be non-recurring. While revenues came in within the range we provided they were slightly below the mid-point of the guidance. That coupled with the one-time issues I mentioned resulted in earnings per share number on the low end of the range we’ve modeled. However there are many good things happening right now and based on that data we’re reaffirming our earnings guidance for the year. First Q1 bookings were solid and our pipeline is quite large. We’re talking to more customers about more opportunities than ever. Additionally revenue for billable day is ramping meaningfully and there is a sizable project at a key account that will begin ramping significantly heading into the second half of 2015 that will drive further improvement there. We’re talking about RBD in May that’s 7% or 8% higher than it was in April and should really scale once the work I just mentioned is fully underway. So March was down on an RBD basis but April was back up and May looks to be a significant improvement and then I think we’re sort of on our way for the year. So on previous calls, I mentioned that given our significant ABR improvements in recent years we’ve been turning our attention more specifically to driving volume growth and we actually saw some traction there in the first quarter, we’re pretty excited about. We had total billable hours flat on an annual basis. As you might recall most of our growth over the last couple of years has been driven through ABR increases with slightly contracting hours volume. So hours volume is stabilized were flat and actually up significantly in the offshore realm, we will talk about that a little bit later. As I mentioned before we’re focusing on coupling 4% to 5% annual ABR increases with similar growth in volumes to contribute to margin improvement going forward. Speaking of ABR remains strong at $149 in the quarter which is an increase of 4% from the year ago period. We’re also getting more leverage from our global delivery teams as I mentioned. 8.5% of revenues in the quarter came from our offshore team versus 2.9% in the year ago period, our acquisition of Zeon was of course responsible for some of that growth but not all of it. As our customers further understand our value propositions and our differentiated delivery model relative to the pure offshore firms. We’re beginning to see benefit and seeing sustainable increased utilization there. In fact organic offshore revenue was nearly 5% of revenue reflecting a 64% increase year-over-year. So from 2.9% of revenue to 5% in the past year, 64% increase. And while the utilization overall was a bit lighter than we hoped for during the quarter, we’re confident we’ll manage it back to our target range of 80% plus for the core business. And we talked about this on our last call but I think it’s worth reiterating now more than ever before our customers are reacting to market forces and competitive landscapes moving faster than ever. All companies are dealing with digital disruption and rising consumer and constituent expectations. So whether it’s their end customer's expectation of an efficient and excellent digital experience with their brand, or their employee’s expectations that their work lives be made easier through technology and business optimization solutions the mandate is clear. Business and technology are now inextricably linked and there is a real do or die mentality emerging. The companies know that they must deliver new services and experiences they must transform and they must optimize if they wish to remain competitive. Obviously, we see ourselves as very well positioned as this unfolds. Our broad portfolio, deep technology expertise and cross platform industry experience align perfectly with the opportunity. I’ll touch on more notable topics and specifically more about digital transformation and also speak of course to our outlook for the second quarter after Paul speaks in detail about the first quarter results. Then as usual we’ll open the call up for questions. Paul?
Paul Martin: Thanks, Jeff. I’m going to cover the Safe Harbor as well as the first quarter results. Some of the things that we will say -- discuss in today’s call concerning future company performance will be forward-looking statements within the meaning of the securities laws. Actual results may materially differ from those discussed in those forward-looking statements and we encourage you to refer to the additional information contained in our SEC filings concerning factors that could cause those results to be different than contemplated in today’s discussions. At times during this call, we will refer to adjusted EPS. Our earnings press release includes a reconciliation of certain non-GAAP financial measures to the most directly comparable financial measures prepared in accordance with Generally Accepted Accounting Principles or GAAP and this is posted on our website at www.perficient.com. We have also posted a slide deck, which includes a reconciliation of certain non-GAAP goals to the most directly comparable financial measures prepared in accordance with GAAP on our website under Investor Relations. Now let me turn to the first quarter results. Total revenues for the first quarter of 2015 were $110.6 million or 14% increase over the year ago quarter. Services revenues were $98.6 million for the first quarter 2015 excluding the reimbursable expenses which represents an 11% increase over the comparable prior year period. Services gross margin for the first quarter 2015 excluding stock compensation and reimbursable expenses was 36% compared to 36.2% in the first quarter of 2014. SG&A expense increased to $24 million in the first quarter 2015 from $20.7 million in the comparable prior year quarter, SG&A as a percentage of revenues increased to 21.7% from 21.3% in the first quarter 2014. EBITDAS for the first quarter 2015 was $15.5 million or 14% of revenues compared to $14 million or 14.4% of revenues in the first quarter of 2014 with the decrease primarily due to an increase in benefit cost associated with several large medical related claims. The first quarter 2015 included the amortization expense of $3.8 million compared to $2.7 million in the comparable prior year quarter. This increase is primarily associated with both the 2014 and 2015 acquisitions. Acquisition cost in the first quarter of 2014 were $1.5 million and related to the acquisition of ForwardThink and BioPharm. Our effective tax rate for the first quarter of 2015 was $34.6 million compared to $42.3 million for the first quarter of 2014. The decrease in the effective rate is primarily due to non-recurring discrete adjustments recorded during the first quarter 2015 and the first quarter of 2014 results including the impact of non-deductible transaction cost. Net income increased 34% to $4.1 million for the first quarter 2015 from $3 million in the first quarter of 2014. Moving to GAAP earnings per share, it was $0.12 a share for the first quarter of 2015 compared to $0.09 in the first quarter of 2014. Adjusted GAAP earnings per share increased to $0.26 a share for the first quarter of 2015 from $0.25 in the first quarter of 2014. Adjusted GAAP EPS is defined as GAAP earnings per share plus amortization expense to non-cash stock compensation, transaction cost and fair value adjustments of contingent consideration, net of related taxes divided by average fully diluted outstanding shares for the period. Our ending billable headcount in March 31, 2015 was 2,202 including 2,066 billable consultants which was broken out 1,539 onshore and 527 offshore and 137 subcontractors, ending SG&A headcount was 396. We ended the first quarter of 2015 with $67.5 million in outstanding debt up $13.5 million from the year end and $6.4 million in cash and cash equivalents. We funded the cash portion of the purchase price of Zeon Solutions of $22.3 million during the first quarter. As previously disclosed in early January, we expanded our line of credit from $90 million to $125 million in conjunction with the Zeon acquisition. Our balance sheet continues to leave us well positioned to execute against our strategic plan. Days sales outstanding on accounts receivable was 76 days at the end of the first quarter compared to 81 days in the fourth quarter of 2014 and 79 days in the first quarter of 2014. I’ll now turn the call over to Jeff Davis for a little more commentary behind the metrics. Jeff?
Jeff Davis: Thanks Paul. So in the quarter we closed 38 deals north of $500,000. They averaged $1 million each. That compares to 40 in the fourth quarter averaging a $1 million each and 35 in the first quarter 2014 averaging $1.4 million. So speaking of large deals I mentioned earlier that we recently closed the first phase of a very large opportunity involving a five year engagement and this is relevant, one, because of its size and opportunity but also because it is delivering a complete digital transformation for client in the healthcare space; again it’s a five year program and notional budgets for Perficient in that program are $150 million over the five year period. So again we’re excited about it because of the size but more importantly believe it’s right in our sweet spot and we’re delivering against that through digital transformation opportunity. From industry perspective not surprisingly healthcare and financial services verticals continue to perform very well and steadily, retail and consumer goods is picking up quite nicely as well I’ve talked about that in the past where we believed and could see the pipeline improving as we move past some of the hacking incidents giving -- back for strategic opportunities seeing a nice pickup there. We talked for several quarters about our continued focus on developing and marketing Perficient owned IP to our clients, so during the first quarter we realized more than $800,000 in asset sales that’s in-house developed asset sales, continue to have a nice pipeline of opportunity there for the remainder of the year. We’re continuing to look to supplement our organic growth with accretive M&A of course with firms that help deepen our expertise and expand our reach and we’ll be looking to add an additional $50 million to $60 million of revenue through two to three more deals in 2015. I anticipate that we’ll be closing our next opportunity there within the next 90 days. So moving on to the outlook for the second quarter, Perficient expects its second quarter 2015 services and software revenue including reimbursed expenses to be in the range of $110.5 million to $121 million comprised of $104.5 million to $110 million of revenue from services including reimbursed expenses and $6 million to $11 million of revenue from sales of software. And for the mid-point of second quarter 2015 services revenue guidance represents growth of 21% over the second quarter 2014 services revenue. The company is narrowing its full year 2015 revenue guidance range basically to reflect this lighter Q1 and Q2 as well as the mixed shift offshore that I referred to earlier. So we’re adjusting the top end of the range to $495 million for the total range of $470 million to $495 million but we’re reaffirming the adjusted guidance earnings per share, the guidance for adjusted earnings per share that we provided earlier of a $1.38 to $1.49 we will be able to still be in that range and in fact right around the mid-point of that range due to the fact that we’re continuing to expand margins throughout the rest of the year. So with that operator we’ll turn the call -- open the call for questions please.
Operator: [Operator Instructions] Our first question comes from Mayank Tandon with Needham and Company. Please proceed.
Mayank Tandon: Good morning. Jeff, thank you for all the details. But I just wanted to get a better grasp of what happened in 1Q, I know you gave guidance in early March. What changed from that period on and then this delay in business, do you end up making up for that or do you think this is loss revenue but some of the other deals that you mentioned could potentially offset the weakness in 1Q?
Jeff Davis: Well, so to the first part of your question; it was March, in fact it was really kind of hit after our call and honestly throughout March. So as I said on the call, January and February were actually off to a good start and up year-over-year pretty nicely in terms of the rebound from that seasonal Q4. But March ended up being a lot lighter than we had anticipated and forecasted, in fact even the pipeline represented and it really was due to just delayed ramps and delayed starts, which began in April, but really are hitting in earnest now in May. So we're going to see the dip in March and April, so impacting a little bit of Q2, which is reflected in our guidance. But then a nice rebound in May and I feel like we've got a solid year ahead. I don’t think we'll make up all of that revenue, which is why we dropped the high end of our guidance range down by $10 million and actually effectively moving the midpoint down by $5 million. But assuming we're able to hold to that obviously it's about 1% differential from our prior guidance really at the midpoint. So we feel good about it. I guess that we're a little surprised by the slower starts, the delayed ramp-ups, but it's happening now and in fact bookings are extremely solid. The pipelines are very solid. So even as we've had very, very large bookings over the last couple of months and already beginning in May and expect May to be another large one, at the same time the pipeline is continuing to rebuild. So we do believe this was kind of a dip and I can't explain why -- and it was fairly across the Board so I can't explain why customers were slower to commit and get things ramped up even where deals were closed. But that’s what happened and like I said, we've moved past it now and I do think our overall guidance range again we've only dropped at about $5 million at the midpoint. So we still good about that.
Mayank Tandon: Okay. So just to be clear this was broad based, nothing related to a specific vertical or a specific client or clients.
Jeff Davis: No, it was pretty broad based, which again was kind of a surprise to us. It was more kind of a macro event from our perspective. We're fairly small, but yes, it was fairly across the board.
Mayank Tandon: Okay. And then sorry if you already gave this, but I wanted to be clear in terms of what the organic growth was in 1Q in the services business and again you break that down between the pricing impact and any volume impact.
Jeff Davis: Yes, it was flat, revenue was flat and actually hours volumes were flat and the difference and ABR was up 4%. And the reason we don’t see that ABR reflect in the top line is that mix shift that I mentioned to offshore. Our offshore business is up 64% year-over-year from 2.9% to 5.7%.
Mayank Tandon: Okay, but then you still expect if I heard you right, organic growth to improve as the year progresses and it should be fairly evenly split between some pricing improvements and the of course as you've said before you’re emphasizing volume growth this year as well. Is that still on target for improving organic trends?
Jeff Davis: Yes, that’s what we expect. I think the midpoint of guidance now for the year is about 4% year-over-year. I hope that’s conservative. I don’t want to get too out in front, but as I said before, we got beyond the large deal that I specifically raised and again I mostly talked about that because of what it represents in terms of digital transformation, but there is a lot of other things going on around that as well. So I do think there is an opportunity for us to add some upside to that, but we've got some work to do. So we're trying to be conservative.
Mayank Tandon: Sure, I would like to squeeze one more in. I want to better understand the impact of margins from the increased benefit cost, is that something that was just a one-quarter event that surprised you and do you expect any of that to linger into the next several quarters?
Jeff Davis: We're self insured with a stop loss and unfortunately for the folks involved, we had a number of large claims in the first quarter. It's unusual. Every year we evaluate our plan. We use a third party, obviously consultants that the industry has fantastic models that are, this is kind of a Six Sigma invent event basically. So there is no guarantee that it won’t repeat, but we certainly don’t expect it to. It was an unusual event and again unfortunate for those involved. But our usual circumstances and it seems highly unlikely it would repeat. So that’s on the benefit side. We did also have a little bit of cost around foreign currency as well and that is hedged now. So it will not repeat.
Mayank Tandon: Sorry I will ask you one more question just to make sure I get the seasonal trends right. Do you expect the results to be more backend weighted or will we see - you've given 2Q guidance, but the guidance would imply a pretty strong rebound in 3Q and 4Q, is that sort of what you expect on a normalized basis or is there something else impacting the second half as well?
Jeff Davis: No, it is. That’s exactly what we expect. We started the year, we talked about the fact that this sort of pattern we've seen over the last couple of years, both '14 and '13 and again it was going to be a little more dramatic this year than we had expected, but I still think -- likewise I think the ramp up in the second half is going to be more dramatic than in the past as well. So we certainly see a solid Q2 and I think a very strong outlook for the second half exactly to your point, which is why we still feel good about lowering that overall topline guidance by only about $5 million.
Mayank Tandon: Thank you. And I imagine today is a good buying opportunity for your buyback.
Jeff Davis: We will be in there doing that exactly.
Mayank Tandon: Great, thank you.
Jeff Davis: Thank you.
Operator: Our next question comes from Frank Atkins with SunTrust. Please proceed.
Frank Atkins: Thanks so much for taking my question. First question is kind of on the human capital side. What are you seeing in terms of the attrition environment and hiring out there and what is your plans of headcount growth both on onshore as well as offshore kind of and how that impacts the mix going forward?
Jeff Davis: Sure, onshore I think the market is tightening some. We've always had decent success though at recruiting and the fact of the matter is right now we're not going to be doing a lot of incremental hiring because we want our utilization to come up three to four points anyway, which actually has us in a good position relative to any challenge in the recruiting front. But despite that we've great success hiring some tremendous talent actually away from a lot of our competitors in the last year or two. Offshore similarly we've had great success there both in hiring and actually pretty low -- very low attrition I would say relative to others in India and even in China. Overall attrition is a little over 20%, probably right around the industry average. We like it below 20%, our target is probably 17%, 18%, but again right now we're sort of okay with that because we need to get utilization up. I don’t expect that we will be doing much incremental hiring and probably until the third quarter nothing meaningful anyway.
Frank Atkins: Okay. And some of the larger competitors are talking more about investments and moving into what they view as opportunities in the healthcare space. Have you seen any changes on your end in terms of the competitive landscape in healthcare?
Jeff Davis: The same players they're certainly getting more aggressive and specifically I am thinking of IBM, GBIs and Accenture. But we've fared very nicely. We went up against both of those guys three, four times here in the last six months and won every one. So in fact they both have approached us about partnering. So we fare well there, so new entrants by the way in terms of new players so much as just those guys getting more aggressive. I think we have a strong advantage there and one our delivery model the way we partner with our clients, the value proposition we offer literally just the rate differential between us and the competitors, but beyond that we've got some incredible domain expertise that we've developed over the last three, four, five years. And the asset that we've talked about many times has emerged as a key differentiator for us as well. We've got so much knowledge around that. We sell it in the $300,000 to $500,000 range and it represents about $2 million to $3 million of consulting effort. So it's a real accelerator for our clients and again is a little differentiated for us.
Frank Atkins: Okay. And can you talk a little bit of your view as to the internally generated software sales throughout the year? What are you thinking in terms of your guidance?
Jeff Davis: I will tell you that we have really not baked into the guidance. I have never really baked that in there just because it can be lumpy. But as I mentioned in the prepared comments about $800,000 closed in the first quarter, we've got a pipeline for the rest of the year. I would estimate about $2 million may be a little more. We’ll win some of those. We may lose some, although our win rate has been phenomenally high over the last six months or so as I mentioned. So couple of million dollars at the higher end probably for this year, but keep in mind that that represents probably about $20 million in services wrapped in with those.
Frank Atkins: All right. Great, thank you very much.
Jeff Davis: Thank you.
Operator: Our next question comes from Brian Kinstlinger with Maxim. Please proceed.
Brian Kinstlinger: Hi, good morning guys.
Jeff Davis: Good morning, Brain.
Brian Kinstlinger: The first question I am curious about the large one you highlighted a few times in healthcare was that with a newer and existing customer and is it a payer or provider please?
Jeff Davis: It's really both. They are more on the provider side, but they have a payer plan. It's a large -- very large player in the space and they've been a client for several years, many years. Actually we've worked with this company since really before we formed, before the time we formed our healthcare vertical. It was one of the catalyst that helped us do that. Now the relationship has grown -- has kind of had its ups and downs as their budgets have increased and contracted, but right now it's been on an upswing for the past year or so and again they are embarking on and have approved the other Board or substantial capital expenditure and investment again around the total digital transformation. So we're one of I believe three players in that, but are slated for a significant chunk as I mentioned.
Brian Kinstlinger: Can you -- everyone talks about digital transformation and obviously it's an important trend, can you talk about maybe specifically your role in this, so we can understand the services you're providing for this digital transformation at a high level?
Jeff Davis: It's interestingly Brian and this is true, almost everything we do, you can put under that umbrella and I am not going to do that. But digital transformation obviously involved social collaboration, a lot of customer facing applications, mobility and underlying all that though is analytics and integration. And as you well know, as you've been following us for a long time Brian, those are all in our wheelhouse, all those things I just mentioned are right in our sweet spot. So it's really about the customers, our customer's customer and delivering that end to end experience whether it's via call center, whether it's an online interaction or whether it's an experience within the brick and mortar walls and driving consistency and a positive experience there. And everything that touches the customer honestly through any device and again, I can't imagine something that we're better suited for than that. Including by the way particularly with the recent acquisition of Zeon, but even before that, the creative capability that we because again a lot of this involves things that are facing -- that our car customer's customer facing and so that's what we see. When you think about in healthcare, a quick example is managed care. It's emails, contact, interaction with the patient, reminding them to take their medication and that could be something that comes in the mail, it could be something that comes on their phone and that's what -- that's where the world is headed and that's what the case of healthcare, that's what these guys are developing.
Brian Kinstlinger: Great, and then can you talk about the ramp up? Has it become to ramp or is that the customer that didn't ramp as expected and when you might see steady state for this large customer?
Jeff Davis: That was not one of the ones I was referring to in terms of the slower ramp. It is starting now. We expect that by the end of this quarter, we'll have a pretty substantial contingent engaged in those projects under that digital transformation program, but the pace is uncertain right now as the client has to get ready. Their on-boarding of a number of consultants including a number of our guys and obviously everything has to be managed and coordinated, there is logistics involved. So the real I think ramp in earnest begins in the third quarter.
Brian Kinstlinger: And then I am curious broad question and then with this contact alone I am curious your targets over the next two to three years of offshore delivery mix and then for this large customer have they added an offshore player or will you have any offshore presence or is it all on site for you.
Jeff Davis: It's a great question. These guys have an offshore player and that's not unusual in our environment right, big offshore guys out there. We all know who they are that have kind of locked up the offshore relationships with these large accounts. And so we often are working side by side with them. We're doing the onshore component or more frankly of the heavy lifting and less of the commoditized work where they're doing more of that however. I do think there is a longer what we've experienced also is that as our relationship has grown particularly with some of these larger relationships that we have turned more and more to us for our offshore capability. We typically have sold that as a project based and it's still is a more higher end service than some of the commoditized services of our competitors offer, but we have unseeded and began to see more and more and that's where you see some of that offshore revenue growth coming from actually un-seeding some of these large players like Cognizant specifically is a situation I can think of where we completely have un-seeding them at one of our large accounts. As our relationship has improved and as our strategic nature of our partnership has been more loyalty and trust, we're actually have any opportunity of un-seeding some of those guys. So I think we'll see more of that and I am pleased to see. It's been a long time coming I think and has liability to drive more offshore and I am pleased to see it because I think while the margins are great, we're going to run 50-plus probably 60% gross margin on offshore, first the dollars are lower, but I also believe those dollars are incremental and that's business we wouldn't have gotten otherwise. So it's great to see.
Brian Kinstlinger: And then you mentioned solid bookings in the quarter, if you listen to other players that generally hasn’t been a great contract in the broad environment for U.S. customers anyway. So I am wondering if you can provide some detail around what drove that. Was it this large customer that predominantly led to this strong contract awards or was it really broad based that your contract awards were solid?
Jeff Davis: It was broad based and it came a little later than we had wanted, but it was broad based and in fact actually this customer was in Q1, this deal closed just in May or late April. So it was across the Board, it seems I can't necessarily put my finger on it. It seems like things were a little pent up in the beginning and then sort of I had described at least for us almost kind of a watershed event here. More beginning in March, but even more in April. April was a monster bookings month for April. That's usually not a big month and it was very big on the heels of a big March. So it seems and I guess I can't pinpoint why that timing was the way that it was because it was fairly broad based, but it sure seems like things have loosened up now and again some really solid results.
Brian Kinstlinger: Great. Last question I've got is industry based, clearly healthcare is going to be a driver, you got this large contract, you got I am sure others in your hopper, where else should we expect over the next four to eight quarters to see strength based on your pipeline maybe where are there other areas of weakness maybe energy I don't know, we've heard with some other IT services players if you can give some comments on that. Thanks so much.
Jeff Davis: Yes, that's great. I think we're going to see healthcare continue to be the leader in terms of growth here. Financial services I think will continue to be strong, but I would describe it more as steady than rapid growth, but we will see some growth there. But absolutely I think retail and CPG our consumer market as we call it collectively, we're very excited about and we're seeing a lot of opportunity there, a lot of activity. In fact, I'll tell you we've got another client that we're engaged with where we've got another great opportunity. In this case, it's retail to be the partner of choice for digital transformation for this organization. I am talking about Next Generation Commerce, Customer 360, this is an organization that happens to have brick and mortar as well. So it's a lot of integration and we're excited about that, but we're seeing more and more of those kinds of opportunities in that space. Energy I hear you and I know that it is state of the industry. However, we believe that we've got some significant opportunity there as well because just simply because we're positioned there not only geographically but we've already got clients in the space and we've added some key talent in that space as well that we're investing in. And for us to move the meter doesn’t take a lot. So I could see where some of the big guys I am sure are seeing a little bit of a pinch in energy. We're optimistic that we'll be able to carve out and actually take some share.
Brian Kinstlinger: Great. Thank you.
Jeff Davis: Thank you.
Operator: Our next question comes from Pete Heckmann with Avondale. Please proceed.
Pete Heckmann: Hi, good morning gentlemen. Most of my questions have been answered. I wanted to see if you could comment, I missed the first few minutes of the call, on the offshore headcount, almost doubling in the quarter. How much of that came from acquisitions?
Jeff Davis: Well, what I referred to on, I am sorry, yes, a chunk of I think we went from -- we went from 2.9% of revenue to 8.5% of revenue, but 4.7% of that is actually organic.
Paul Martin: So the actual headcount numbers, we had 265 offshore at the end of Q4 and that's up to 527 at the end of Q1 including 239 that came via the Zeon acquisition.
Pete Heckmann: Okay. Great. Okay. Thank you. And then any impact yet in the marketplace from Cognizant's acquisition of TriZetto. Do you see opportunities there. Do you see either opportunities for hiring or opportunities where a customer is looking to second source and this opens up a spot for you?
Jeff Davis: Yes, I think certainly. Actually one of the customers that I alluded to and one of the offshore guys who we've un-seeded that I alluded to earlier, it was related exactly to the acquisition of TriZetto by Cognizant. I do think it creates a conflict for them and some of their clients within healthcare. And so I do see an opportunity and ongoing opportunity there for us to take share from them as clients are uncomfortable with them being sort of no longer agnostic. So we see that -- we see that opportunity. In terms of hiring opportunity, I am not certain of that. I have a ton for respect for Cognizant and I don't know what kind of folks might be there that we can nab but we would certainly look to do that as well.
Pete Heckmann: That's helpful and then I don't know if you commented on it, but we had talked about the change in the composition plans for the sales force that started rolling out in August if you haven't spoken on that yet, can you comment about how it's working here six to nine months in?
Jeff Davis: I think as it's still a little early to sort of declare, however, I don't think that the stabilization and what I anticipate will begin to be growth and our volume is completely coincidental. I do think it was related to some of the changes we made in that plan. So I am optimistic that we I'll get to that level of volume growth that we've talked about. I think conservatively 4% to 5% volume growth coupled with 4% to 5% rate growth is what we're trying to drive and I think we can get there. Like I said, I think the first step, the first sign in the first quarter of ours not contracting is a good sign and a good start and again like I can't say, I wouldn't say it's not at all related to the plan. I am sure the plan has some effect. But I think more frankly the second half or the year we will in a better position to assess us and how effectively or not that's working.
Pete Heckmann: Okay. Fair enough. Thank you.
Jeff Davis: Thank you.
Operator: We have no further questions. I'll now turn the call back over to Mr. Jeff Davis, President and CEO for any closing remarks. Please proceed sir.
Jeff Davis: All right, well thank you all again for your time today. We appreciate it. We look forward to seeing you in another quarter with more good news. Thank you.
Operator: This concludes today’s conference. You may now disconnect. Have a great day everyone.